Operator: Hello and welcome to the Enpro Q2 2024 Earnings Conference Call and Webcast. At this time, all participants are in a listen-only mode. [Operator Instructions] As a reminder, this conference is being recorded. It’s now my pleasure to turn the call over to James Gentile, Vice President, Investor Relations. Please go ahead, James.
James Gentile: Thank you and good morning, everyone. Welcome to Enpro’s second quarter 2024 earnings conference call. I will remind you that our call is being webcast at enpro.com, where you can find the presentation that accompanies this call. With me today is Eric Vaillancourt, our President and Chief Executive Officer and Joe Bruderek, Executive Vice President and Chief Financial Officer. During today’s call, we will reference a number of non-GAAP financial measures. Tables reconciling the historical non-GAAP measures to the comparable GAAP measures are included in the appendix to the presentation materials. Also, a friendly reminder that we will be making statements on this call that are not historical facts and that are considered forward-looking in nature. These statements involve a number of risks and uncertainties, including those described in our filings with the SEC. Also note that during this call, we will be providing full-year 2024 guidance, which excludes unforeseen impacts from these risks and uncertainties. We do not undertake any obligation to update these forward-looking statements. It is now my pleasure to turn the call over to Eric Vaillancourt, our President and Chief Executive Officer. Eric?
Eric Vaillancourt: Thanks, James and good morning, everyone. Thank you for joining us today as we review our results for the second quarter and provide an update that includes the narrowing of our outlook for full-year 2024. We performed well in the second quarter with strong profitability in the Sealing Technologies segment, and sequential improvement in both sales and adjusted segment EBITDA in Advanced Surface Technologies. Consolidated adjusted EBITDA margins exceeded 27% for the first time. We are pleased with the team’s agility this quarter as profitability shined even as soft demand persists in certain areas of the business. Again, this quarter, our people worked very hard to achieve these results that demonstrate the compelling balance inherent in the Enpro portfolio and our ability to execute well on a variety of macroeconomic scenarios. We would like to thank our 3,500 colleagues across the company for their outstanding contributions and commitment to the company’s ongoing performance. Now, onto the second quarter performance. After my review, I will turn the call over to Joe for a more detailed discussion of our results and our outlook for the balance of 2024. Operating performance in the Sealing Technologies segment was excellent during the second quarter. At AST, we delivered sequential improvement in both sales and adjusted segment EBITDA. While the semiconductor market remains soft, particularly for the semiconductor capital equipment, we have seen pockets of continued growth in the beginnings of recovery. We continue to believe the low point of AST segment performance is behind us. In Sealing Technologies, adjusted segment EBITDA margin exceeded 35%. Strength in nuclear and aerospace, as well as strategic pricing actions and the contribution from AMI more than offset weakness in commercial vehicle OEM and Asian industrial markets. Food and pharma sales increased during Q2, although demand remains choppy, particularly in Europe. Favorable mix, cost controls, supply chain effectiveness were also contributing factors to the record quarterly results in this segment. Our continued positive momentum and profitability in the Sealing Technologies reflects the underlying strength of this segment. Our focus on applied engineering differentiation, compelling aftermarket characteristics, incremental investments in organic growth and continuous improvement opportunities, has created a foundation for profitable growth. Additionally, we continue to pursue strategic opportunities in adjacent markets that build upon our core competencies in safeguarding critical environments. We are very pleased with the performance of the Sealing Technologies segment and our outlook remains constructive. In the Advanced Surface Technologies segment, revenue declined 12% year-over-year, adjusted segment EBITDA margins up 21.7%, improved 160 basis points sequentially. Strategic growth investments and operational improvement initiatives proceed as we continue to position AST for long-term growth. Areas of continued growth such as in our precision cleaning business and a brighter outlook for both our coating and refurbishment solutions, and certain critical end-chamber tools gives us confidence that the AST segment will grow sequentially for the remainder of 2024. Long-term, we are focused on executing our multi-year strategy to drive growth in AST’s attractive markets with key capacity expansions and efficiency improvements that showcase our technological and process advantages that provide our customers with essential value in the semiconductor supply chain. Our balance sheet remains in excellent strength -- in excellent shape as we continue to pursue a variety of growth opportunities, both organically and through strategic acquisitions. We are pleased with our second quarter and our first-half performances despite well understood macro headwinds. We expect strong execution and disciplined capital allocation to continue as we drive our value-creating strategy forward. Joe?
Joe Bruderek: Thank you, Eric and good morning, everyone. Let’s now go into the details of our second-quarter performance. In the second quarter, sales of $271.9 million decreased 1.8%, compared to the prior year and organic sales declined 5%, driven primarily by lower results in AST segment due to ongoing softness in semiconductor. Second-quarter adjusted EBITDA of $74 million increased 14%, compared to the prior-year period. Adjusted EBITDA margin of 27.2%, increased 380 basis points. Favorable mix, strategic pricing, lower corporate expenses and continuous improvement initiatives offset soft demand in certain markets, while other markets experienced resiliency and growth. Growth initiatives on new products and key capacity expansions continued, along with ongoing continuous improvement discipline and supply chain efficiency. Corporate expense of $10.5 million in the second quarter of 2024 was down from $15.6 million a year ago. Last year, corporate expense was unfavorably impacted by approximately $4 million due to mark-to-market valuation of awards under long-term equity incentive plans, compared to a favorable impact of approximately $1 million in the current quarter. In 2023, we made changes to the structure of incentive plans that will mitigate the volatility of corporate expenses due to share price performance for the remainder of this year and eliminate variability thereafter. Adjusted diluted earnings per share of $2.08 increased almost 14%, largely driven by the factors that drove the adjusted EBITDA improvement year-on-year. Moving to a discussion of segment performance. Sealing Technologies sales of $184 million increased over 4% and organic sales were essentially flat. Strength in nuclear and aerospace markets, the contribution from AMI, strategic pricing actions and improved sales in food and pharma offset steep declines in commercial vehicle OEM revenue and soft general industrial demand in Asia. Our aftermarket positions in this segment continue to show stability as the critical nature of our innovative products and solutions differentiate. For the second quarter, adjusted segment EBITDA increased more than 16%. Strategic pricing, supply chain gains, the contribution from AMI, improved aftermarket mix and 80/20 discipline drove the segment’s profit growth during the period. Adjusted segment EBITDA margin was 35.5% in the second quarter, up 360 basis points. For the first half of 2024, Sealing delivered adjusted segment EBITDA margins above 33%. As we have said since the beginning of the year, we expect to return to normal seasonal patterns in the segment this year, where we generally see the strongest first half. That said, underlying demand remains firm in our domestic and European general industrial markets. New products like Auto-Torq in our commercial vehicle market and new platform wins in commercial aerospace are incremental drivers for the segment’s future performance. We also expect continued strength in our space exploration and sustainable power generation markets. We are excited about the various levers our team will pull to profitably grow the transformed Sealing technologies segment. Turning now to AST. Second quarter sales of $88.1 million were down around 12% year-over-year and up modestly on a sequential basis. While soft semiconductor capital equipment spending persisted during the second quarter, we saw continued growth in certain areas, such as our precision cleaning solutions business, supporting leading edge nodes. Additionally, we saw more consistent signs of recovery in advanced coatings and refurbishment solutions as the second quarter progressed. Market forecast from a variety of sources suggest that while the overall semiconductor market is in a strong secular growth position long term. the timing and magnitude of an overall recovery in capital equipment spending continues to evolve and move to the right. In the second quarter, adjusted segment EBITDA decreased around 20% year-on-year. Adjusted segment EBITDA margin was 21.7%, down from last year, but up 160 basis points sequentially. The volume decline was the primary driver of the year-over-year reduction in profitability. Throughout the downturn, we have invested in targeted capacity expansions that will position AST well as the semiconductor market resumes the growth trajectory. In addition, we are pursuing a number of continuous improvement and optimization initiatives that will better position the segment long-term. Overall, we are pleased with the AST segment’s performance through a challenging market environment. The segment has consistently maintained adjusted segment EBITDA margins in excess of 20% during the slowdown. Turning to the balance sheet and cash flow. Our net leverage ratio following our purchase of AMI in January stands at approximately two times trailing 12-month adjusted EBITDA. Free cash flow in the first half of 2024 was $35.5 million, down from $66.5 million last year. Timing of working capital and to a lesser extent, higher cash tax payments; compared to last year, were the primary drivers of the year-over-year reduction. For the year, we continue to expect free cash flow to exceed $100 million. When we started the year, we expected capital expenditures to approximate $60 million. Some of this growth spending will push into next year based on supplier lead times and delivery schedules. We continue to be excited about our pipeline of organic growth opportunities as we invest to drive long-term high-margin growth. We have strong financial flexibility to execute our strategic initiatives, both organically and through acquisitions that broaden our capabilities, while returning capital to shareholders. In the second quarter, we paid a $0.30 per share quarterly dividend with year-to-date payments totaling $12.7 million. In a steady state, assuming no acquisition activity in the second half, we expect to exit 2024 at a net leverage ratio around 1.6 times. Moving now to our current view of guidance. Taking into consideration all the factors that we know at this time, we are narrowing our full-year 2024 earnings guidance ranges and we also now expect total Enpro sales to be approximately flat compared to 2023 versus our previous revenue guidance of low-to-mid single-digit growth. The primary factor in adjusting our sales view is the magnitude of the expected recovery in semiconductor capital equipment in the back half. We now expect adjusted EBITDA of between $260 million to $270 million and adjusted diluted earnings per share to range from $7 to $7.60 versus our previous view of $260 million to $280 million and $7 to $7.80 respectively. The normalized tax rate used to calculate adjusted diluted earnings per share remains at 25% and shares outstanding approximate $21 million. In AST, we expect sequential improvement in the back half, driven by continued growth in our advanced node cleaning business, a better outlook for coatings and refurbishment, and some demand improvement for certain critical in chamber tools. In Sealing Technologies, we continue to see firm demand in certain shorter-cycle product lines and a return to normal seasonality in the segment, where the first half is slightly stronger than the second half. We continue to see strong backlog and positive mix that will help offset the continued weakness in commercial vehicle OEM demand. I will now turn the call back to Eric for closing comments.
Eric Vaillancourt: Thanks, Joe. We are delighted to have reported strong profitability in the face of demand weakness in certain of our markets. Our balanced portfolio generates attractive margins and cash flow returns with several opportunities to advance our strategy and drive long-term high-margin growth. Every day, we deliver critical leading-edge solutions for our customers that safeguard critical environments and applications that meaningfully impact our lives. Thank you again, for joining us today. There is no better time to be a part of Enpro. We will now welcome your questions.
Operator: Thank you. [Operator Instructions] Our first question is coming from Steve Ferazani from Sidoti & Company. Your line is now live.
Steve Ferazani: Good morning, Eric, Joe. Appreciate all the detail on the call. First, I want to ask about the strength on the Sealing margins. Obviously, I mean, you noted some of your end markets are challenged, yet you still are generating you’re still expanding those margins. So, the question really is, how sustainable is that? How much of that is mix that may revert? Can you maintain pricing in this environment? And in general, are there some sustainable cost cuts that came in there as well? I know it’s kind of a big broad question. but…
Eric Vaillancourt: Thanks, Steve. I’ll give you a big broad answer.
Steve Ferazani: Fair enough.
Eric Vaillancourt: The answer is, we execute very, very well on a variety of ways. We expect to hold on to price. We had some supply chain savings. Our mix and volume are very good. You see our commercial vehicle OEM sales are down. but the mix shift has been typically from 60/40 aftermarket OEM to about 70/30 right now. So, with much better aftermarket margins, it’s propping up that commercial vehicle business. We have strong businesses that perform well in a variety of environments and it’s really is just really good execution. Our focus on aftermarket sales continues to drive the way.
Joe Bruderek: Yes, I’ll add Steve. We performed extremely well as you noted in the second quarter in Sealing with margins at 35%. We think we’re sustainably in that 30% plus or minus a little bit range. Second quarter has historically been our strongest quarter. We talked about the seasonality, where the second half will be slightly softer than the first half and that will come with slightly lower margins. But in general, we feel really good about the execution that our teams are delivering and we think we’re sustainably in that 30% plus or minus range for Sealing margins.
Steve Ferazani: Can you give a sense of how much new products might be contributing? I know you’ve been pretty excited about Auto-Torq and I’m assuming you get better pricing on some of these. Is that meaningful contribution, or is it given the size of that whole market not necessarily that material?
Joe Bruderek: It’s incremental, but I wouldn’t call it material.
Steve Ferazani: Okay, okay.
Joe Bruderek: That business will ramp up over time. We’re limited by how much we can produce today. but the market is excited for the product and next year, it will be even better.
Eric Vaillancourt: Yes. And we continue to invest in future opportunities for growth in Auto-Torq. We’re very pleased with early indications there. But as Eric noted, it’s incremental at this point.
Joe Bruderek: I’d also like to add, we’ve been very successful in certain key critical components in both sustainable power generation on the nuclear and natural gas side, and also in commercial aerospace platforms and incremental kind of growth that we’re seeing in space exploration.
Steve Ferazani: Are those better margin end markets?
Eric Vaillancourt: Generally, yes. And as we’ve kind of transformed the segment, we just want to kind of press, where we’re strongest. We want to continue to invest, where we have the best advantages to kick up the growth rate a little bit and show really strong best-in-class margins. So, you got a nice order for WavePro this quarter. That’s not meaningful in any ways in terms of size, but meaningful in the sense that we’re getting the product accepted into the market.
Joe Bruderek: And again, the two thirds aftermarket position in this segment is a governing factor that we’re super-excited about.
Steve Ferazani: Excellent. If I could turn briefly to AST before I turn it over. In terms of the guidance, I mean, we’ve all heard some of the higher-profile earnings calls this quarter. And I know you sort of cited market sources for the -- saying the recovery might be a little bit slower to the right. But can you give a sense of specific customer conversations whether they have changed and whether the conversations have been more around timing versus the actual recovery?
Eric Vaillancourt: I would say that if we’re thinking about kind of the underlying, where we’re focused is to kind of execute on where we’re strongest. And I think less about customer conversations and more about kind of what’s happening as the semiconductor industry has continued its recovery after almost a couple of years of pretty significant destocking. You’ve seen memory prices increase substantially, which is driving underlying market growth statistics for some of those external sources. But underlying capacity utilization is still light. So, as capacity gets absorbed, semiconductor capital spending generally follows and that -- we’re seeing that pricing dynamic on units kind of drive industry statistics higher, the capacity utilization variables are still a little bit slower to recover.
Steve Ferazani: Okay. And…
Eric Vaillancourt: And as I said that longer term, we have very strong positions in new platforms. We continue to invest in where we’re strongest.
Steve Ferazani: Any update on…
Joe Bruderek: The only thing we’re seeing is just a little bit to the right.
Steve Ferazani: Yes.
Joe Bruderek: We’re seeing some build plans a little bit to the right with customers, but that’s it. Nothing out of the ordinary. It really is coming down to capacity utilization, just being a little slower.
Steve Ferazani: Fair enough. Great. Thanks, everyone.
Operator: Our next question is coming from Ian Zaffino from Oppenheimer. Your line is now live.
Isaac Sellhausen: Hey. good morning, guys. This is Isaac Sellhausen on for Ian. Thanks for taking all the questions. Just a follow-up on AST. Could you just touch on trends you’ve seen moving past the second quarter? Sounds like you’ve seen some improvement sequentially in a few areas that you noted. I guess, have things started to turn the corner yet as far as any positive inflection at the capital equipment side? I know you just commented on that. but maybe, if you could just touch on some of the growth areas that you’ve seen sequentially? Thanks.
Eric Vaillancourt: Our cleaning business is doing very well and adds throughout the whole cycle. So, that’s grown basically every quarter. So that continues to be a source of strength. Our coatings business is starting to recover a little bit. I would call it green shoots, where we’re getting some new orders here or there. We also see some of our in chamber parts picking up a little bit of momentum. But again, it’s just a gradual recovery. So, it’s not a hockey stick, a little slower than we would have liked, but consistent and we’re still very well positioned for long-term growth. Once we get through this recovery, I look for things to be very good.
Isaac Sellhausen: Okay. Understood. And then as far as the growth investments and sort of the continuous improvement initiatives that you’ve talked about in the segment, could you just remind us again, what those entail? And then as far as investments you’ve made in Asia and the U.S., sort of where we are with those investments as well? Thanks.
Eric Vaillancourt: Well, our Arizona investment is just about ready to come online. We may even see a little bit of revenue this year, which will be earlier than expected. It won’t be significant. It will be testing and ramping up, if you will. We also invested in Singapore. So, we’re invested in key markets for expansion and we’re well positioned there in both markets just waiting for business to take off there. In terms of continuous improvement efforts, it’s really just Enpro operating system. It’s not -- I don’t -- to me, it’s just basic blocking and tackling. When you look at what we do in Sealing technologies, we do the same thing in AST. We just haven’t owned those businesses as long. So, what you can see is that a little bit of facility consolidation. You’re seeing some machining being moved around for lean activities, better utilization of people, better utilization of equipment and narrowing our footprint a little bit. So, it’s a little bit of everything. It’s not anything. There’s a little bit of price, a little bit of supply chain savings. It’s just basic good execution. And that team is getting the Enpro way, if you will and will continue to improve over time.
Isaac Sellhausen: Okay. Thanks very much. Best of luck.
Operator: Thank you. Our next question today is coming from Jeff Hammond from KeyBanc Capital Markets. Your line is now live.
Jeff Hammond: Hey. good morning, guys.
Eric Vaillancourt: Good morning, Jeff.
Joe Bruderek: Good morning.
Jeff Hammond: Just I mean maybe, to put a finer point on AST sequential improvement, just should we look at 2Q to 3Q as being similar to 1Q to 2Q? Or is it a little bit stronger than that?
Joe Bruderek: Jeff, as we talked about coming out of the first quarter, right, we expected really slight improvement second quarter over first quarter. I think we’ll see a little bit more gradual than that going into the back half of the year, where we continue to see kind of mid-single-digit quarter-over-quarter improvement through the second half of the year, definitely more gradual than it looked like coming into the year, but still sequential improvement quarter-over-quarter through the rest of this year. We continue to see good performance as we see our cleaning and refurbishment business moving into advanced nodes concentration there, continued strong growth through the cycle. And as Eric talked about, some of our refurbishment work and in-chamber tools are starting to pick up a little bit here and there. And again, it’s just more gradual versus a strong bounce back and strong recovery in any given period.
Jeff Hammond: Okay. That’s helpful. And then just in sealing, I think we’ve been hearing PMI weakening and kind of softening in U.S. short cycle. Maybe, outside of truck, it doesn’t really seem like you’re seeing that. Maybe, just talk about U.S. short cycle and what you’re kind of building in for the back half?
Eric Vaillancourt: We’re not seeing that at this point, Jeff. We’re building in our normal seasonality. If you look at our seasonality over time usually about 52% in the first half, 48% in the second half and that’s what we’re building into the model. We’re still very strong in nuclear, still strong in space. So, there are some good things there, the mix and commercial vehicle is also part of it. Our demand is still pretty strong. So right now, we’re just building a normal seasonality.
Joe Bruderek: Yes. And I would add, we’re not seeing any significant inventory destocking or stocking in any direction. Our order demand is in line with distribution and demand, and things still feel pretty firm right now as we head into the second half.
Jeff Hammond: Okay. And then just last one on CapEx. I think you said you thought $60 million. What do you think that number is? And I guess anything that you fall short, I’d assume, falls into ‘25?
Joe Bruderek: Yes. I mean, we have a really strong pipeline of opportunities to invest in for an organic growth standpoint in both segments. We’ve talked about that this year. And heading into the year, we were executing towards the $60 million. It just looks like some of that spending may leak into next year a little bit in the magnitude of five plus or minus a little bit. And it’s just timing of execution on the supply chain side and our suppliers’ ability to get equipment to us at the right time. So, we’re still extremely committed to those projects and feel really excited about the long-term growth prospects we’re investing behind. It’s just timing of that spend is going to most likely leak into 2025 a little.
Jeff Hammond: Okay. Perfect. Thanks, guys.
Joe Bruderek: Thanks, Jeff.
Eric Vaillancourt: Thanks, Jeff.
Operator: Thank you. We reached the end of our question-and-answer session. I’d like to turn the floor back over to James for any further or closing comments.
James Gentile: Have a great day everyone. Thank you for your interest.
Operator: Thank you. That does conclude today's teleconference and webcast. You may disconnect your line at this time and have a wonderful day. We thank you for your participation today.